Operator: Good day, everyone and welcome to Pinnacle Financial Partners’ Third Quarter 2014 Earnings Conference Call. Hosting the call today from Pinnacle Financial Partners is Mr. Terry Turner, Chief Executive Officer; and Mr. Harold Carpenter, Chief Financial Officer. Please note, Pinnacle’s earnings release and this morning’s presentation are available on the Investor Relations page of their website at www.pnfp.com. Today’s call is being recorded and will be available for replay on Pinnacle’s website for the next 90 days. At this time, all participants have been placed in a listen-only mode. The floor will be opened for questions following the presentation. (Operator Instructions) Before we begin, Pinnacle does not provide earnings guidance or forecasts. During this presentation, we may make comments which may contain forward-looking statements. All forward-looking statements are subject to risks, uncertainties and other facts that may cause the actual results, performance or achievements of Pinnacle Financial to differ materially from any results expressed or implied by such forward-looking statements. Many of such factors are beyond Pinnacle Financial’s ability to control or predict and listeners are cautioned not to put undue reliance on such forward-looking statements. A more detailed description of these and other risks is contained in Pinnacle Financial’s most recent Annual Report on Form 10-K. Pinnacle Financial disclaims any obligation to update or reserve any forward-looking statements contained in this presentation, whether as a result of new information, future events or otherwise. In addition, these remarks may include certain non-GAAP financial measures as defined by SEC Regulation G. A presentation of the most directly comparable GAAP financial measures and a reconciliation of the non-GAAP measures of the comparable GAAP measures will be available on Pinnacle Financial’s website at www.pnfp.com. With that, I am going to turn the presentation over to Mr. Terry Turner, Pinnacle’s President and CEO.
Terry Turner: Good morning. As most of you know for the better part of three years now on these earnings calls, we have been discussing our strategic approach to growth and profitability, which is essentially that we grow our balance sheet in the form of loans at an annualized double-digit pace, while growing non-interest expenses at a substantially slower rate. We believe that strategy has resulted in dramatically improved profitability due to the operating leverage that we have been able to create. So, again this morning, I thought I’d start with a dashboard that provides a simple snapshot of how that strategy has worked through the third quarter of 2014. The top row of graphs shows real earnings growth with an organic revenue growth rate of just under 9% year-over-year in the face of pretty stiff volume and margin headwinds. Fully diluted EPS was up 23.8% year-over-year and our return on assets, which is not on the slide, climbed to 1.25% and the return on tangible capital has now climbed to 13.7%. As you can see on the second row of graphs, we are getting outside of balance sheet growth in the form of loans, up 11.4% in the third quarter over 2014 compared to the same quarter last year. You can also see that we have increased average transaction accounts by 14.7% during that same timeframe. So, the transaction accounts now represent 47% of total deposits. In my opinion, that’s a real franchise value growing loans organically at a double-digit pace and then growing transaction accounts organically at an even faster rate. And after having initiated a dividend payout in December 2013, we have been creating both regulatory and book capital with tangible book value per share up 13.7% year-over-year which is generally highly correlated share price increases. The third row provides information as to asset quality. First, I will touch briefly on non-performing assets, which increased 0.77%, 77 basis points. When you get to this level in non-performing assets, the downgrade of one or two loans can cause a seemingly dramatic uptick. In this case, the uptick was largely attributable to the downgrade of a single real estate developer for which we currently project no loss. I might also point out that of the $21.6 million in non-performing loans $15.6 million or 72% are still performing consistent with the contractual terms. So the absolute level of NPA remains very low and the relative quality of those NPAs is very strong. As to the allowance for loan losses, overall improvement in our credit metrics has provided meaningful credit leverage for our firm over the last few years. And we anticipate that we will continue to have credit leverage throughout the remainder of 2014 and 2015 as our loan portfolio continues to produce consistently strong asset quality metrics. Again as most of you know, we have also been highlighting this chart since January 2012. It was our belief at that time that our existing relationship managers plus several new sales associates that we intended to hire and indeed did hire had the capacity to produce approximately $1.27 billion in net loan growth over the three-year period beginning in 2012. In this chart, we are plotting the actual production to-date against the three-year target that we outlined more than two years ago. With one quarter remaining in the three-year plan target period, we are approximately $130 million away from our stated target of $1.27 billion. And based on these results and our record third quarter new loan originations as – are shown on the next slide, we still expect (indiscernible) to meet our three-year loan growth target. So, I am generally pleased with our third quarter 2014 effort as we continue to take market share and produce outsized growth in net loans and DDAs. We continue to grow both spread and fee revenues and we continue to advance our ROAA and ROTCE, consistent with the approach to operating leverage that we have been talking about since the beginning of 2012. With that I am going to turn it over to Harold now to review in greater detail the results of the third quarter.
Harold Carpenter: Thanks Terry and good morning everyone. As Terry mentioned, with $130 million in growth left to fully subscribe our three year net loan growth target, we feel really good about our ability to achieve our goal. We are very pleased with the level of new loan originations during the third quarter, which equated to almost $373 million which is the highest volume of loan originations generated by our sales force ever in the third quarter of the year. Our markets remained stronger than many others. And our relationship managers are very much out in market discussing capital needs with their clients. We have historically had a strong fourth quarter in loan production which adds to our confidence that we will hit our target. As for red bars, we again incurred significant levels of payoffs during the third quarter. As most of you know by now this has been the most significant headwind for us and the ultimate achievement of our net loan growth targets. We experienced the largest increase in net interest income in quite some time between the second and the third quarter. We are very pleased with our net interest income growth, as well as net interest margin expansion in the third quarter. As to the margin we expect some pull back in the fourth quarter of a modest amount, but expect to remain well within our net interest margin targets of 3.7% to 3.8%. We also expect to experience continued increase in net interest income primarily based on anticipated loan growth. Concerning loans specifically as the chart indicates average loans were $4.36 billion, while EOP loans were approximately $63 million greater than the average balance signaling that we are hopeful to see average loan balances continue their quarter-to-quarter increase as we head into 4Q ’14. As to loan yields, our loan yields increased from 4.27% last quarter to 4.34% this quarter, largely due to the impact of a cash flow hedge we entered into late in the second quarter, which I will discuss further when I will discuss our balance sheet structure and our advances on interest rate sensitivity. For the third quarter, our cash flow hedge benefited us by just over $600,000 and we forecast this instrument will provide at least $525,000 of added benefit to us in the fourth quarter. Our margin was also influenced by the impact of interest payments previously made on non-accrual loans. We have realized approximately $300,000 in the third quarter of 2014, which was an added benefit to the margin for us. As to deposits, again here in the third quarter we are able to continue our lowering of our funding costs. We have mentioned for several quarters that our pace of reduction will slow and it has in fact done that. The cost of funds decreased 1 basis point in the third quarter. However, it should be noted that the decrease of 1 basis point was achieved while we grew deposits by an annualized growth rate of approximately 12%, which speaks to the relationships our financial advisors have in the market. As to the deposit balances, we continue to grow our non-interest bearing deposit business, which we believe maybe the most stable product in our bank and that our business strategy continues to work with year-over-year average non-interest bearing deposit balances up 19.7%. These are core operating accounts that we would expect to keep regardless of the rate environment. Let’s switch gears and discuss interest rate sensitivity for a minute. There is a lot of discussion about asset sensitivity and rising rates these days and who might win when Fed Fund rates eventually rise. The obvious question is when and given we are not economists we have to rely on third-parties in our modeling. That said I really like our balance sheet position presently and how we believe it should unfold over the next few quarters. We have been talking about this slide in our loan floors for quite sometime. We are fortunate to have relationship managers that can garner loan floors, which is a great thing. As of September 30, we have just under $1.24 billion of floating rate loans with floors on our books with an average difference between the floor rate and the contract rate of 73 basis points, which provides us approximately $9 million in annual revenue. In the third quarter of 2014, we eliminated floors on approximately $100 million of floating rate loans, which is the largest decrease we have experienced in several quarters. The spread difference was virtually unchanged between the second and third quarters of 2014. As many of you know, the 73 basis point differential between the floor and the contract rate is what has prevented us from immediate asset sensitivity in the past. Once the short-term rates breakthrough the floors, we become asset sensitive in a big, big way. So, the challenge for us has been to find a way to bring some of our longer term asset sensitivity into the near-term without costing us an arm and a leg. So, we have been about devising a plan to accelerate our past to asset sensitivity and we believe we have achieved our goal in a way that makes a lot of sense for our firm. So, we thought we would bring everyone up-to-date on our current thinking about our balance sheet structure in an affordable path to increase the asset sensitivity. Moving to next slide, we thought we would outline our progress in three ways, how our balance sheet is helping us achieve asset sensitivity, while what we have done to accelerate our past asset sensitivity, and lastly the critical assumptions that all banks have to consider as they design such plans. First, our balance sheet has progressed nicely towards asset sensitivity on many fronts. As the chart indicates, we have experienced significant growth on DDAs, our securities portfolio has become less impactful to our ongoing earnings stream and fixed rate loans have remained at 42% of total loans for the past several quarters in a period when savvy borrowers have pursued fixed rate financing. This progress has been paying off for us as our most recent sensitivity model indicates we are asset sensitive in most up rate shock scenarios, including the shocked up 100 basis point scenario, which indicates we are slightly asset sensitive for the first time in a considerable time. We also have several initiatives, which should further ensure our balance sheet objective of neutral to asset sensitivity with the immediate increases in rates, while escalating to increased asset sensitivity with rate increases. First off, we have started the targeted removal of $350 million of existing interest rate floors over the next 12 or so months as these loans come up for renewal. This represents about 25% of our floored loan book. Through September 30, we have removed approximately $40 million of these target loans during the third quarter and anticipate approximately $70 million more in the fourth quarter. Appreciate that in addition to transitioning these loans from a floor rate to a floating rate, our relationship managers are seeking and have achieved increases in the spread index on these renewed loans. Thus far, our relationship managers have negotiated an increase of 38 basis points in spread on the $40 million of floating rate loans, for which we have removed the floors. So not only are we removing floors, we are also increasing the contract rate as well. Now, in order to essentially pay for the removal of the $350 million in floors, another incremental step that we have embarked upon is that we have agreed to swap $110 million in LIBOR variable rate loans are only about 2.5% of our loans for fixed interest rates with a weighted average spread difference of 2.17%. As we mentioned previously, this transaction neared approximately $600,000 in revenue in the third quarter and we believe at least $525,000 in the fourth quarter after considering the anticipated floor release. We will monitor the plan floor releases concurrently with our asset sensitivity goals and believe it will hit our target as short-term asset sensitivity goals relatively quickly. Also – and as we have stated in the past, we also have $200 million in forward starting cash flow hedges, which effectively lock in $200 million in future fixed rate FHLB funding. As one considers Pinnacle’s balance sheet structure, one of the more critical assumptions has to be the betas associated with anticipated changes in deposit pricing, particularly for us, money market and interest checking accounts. Previous rate cycles based on our experience and input from third-party consultants that had performed deposit stage for us, when indicated deposit beta of approximately 40 basis points would be reasonable. Our 40 basis point beta assumption seems generally in line with prior expectations. However for this rate cycle, we are contemplating significant higher betas on many products with a likely average of around 60 basis points. Despite the fact that we have reason to believe our service differentiated strategy provides us some pricing power that few regional banks would have. We believe that a 60 basis point beta provides a reasonable level of cushion for up rates given the underlying characteristics of our deposit book. Lastly, probably the most critical assumption is the wind question, our modeling remains at a 3Q ‘15 rise in Fed Funds, but based on what we hear this could get deferred again fairly quickly. That’s a lot of information, but at the end of the day, we believe we have essentially achieved a reasonable balance sheet position that has neutral to asset sensitive, but we will look to continue to increase our asset sensitivity over the next few quarters without sacrificing our current earnings strength. Switching now to non-interest income, excluding the non-recurring $1.1 million gain on the sale of a government guaranteed portion of a loan in the third quarter of last year, core non-interest income increased 9.6% over the same period last year. Our wealth management lines are all showing positive trends and remain a reliable earnings stream. Items included in other non-interest income tend to be lumpy and include items such as gains on other investments, loan sales as well as interchange fees. As we mentioned last time, we also have several tactical items aimed at debit, credit and purchasing cards that we hope will bolster service charge income. We have experienced year-to-date a 5.4% increase in the number of debit cards from the end of last year, while net interchange revenue increased $100,000 dollars in the third quarter of 2014 as compared with the same quarter last year. As credit cards, the number of cards is up 11.2% from the end of 2013, while credit card interchange is up $803,000 thus far in 2014 or almost 26% greater than the $639,000 for the first nine months of last year. The key objective is to get cards in the hands of class and encourage class to use them. Now, as to operating leverage, our core efficiency ratio of 54.4% represents a record for our firm. We believe our efficiency ratio as it stands today compares favorably to most peer groups and believe that we will be able to maintain and improve upon this level of efficiency. Third quarter expenses came in about where we anticipated. As far as the remainder of 2014 is concerned, we have hired 12 revenue producers thus far in 2014 and most of those in the latter stages of the second quarter. We are also excited about the significant adds we have made in our Knoxville footprint this year and have correspondingly increased our optimism to that market. Our core expense to asset ratio of 2.34% for the third quarter, as we have stated for the last two years, the primary strategy to ultimately achieve our long-term expense to asset ratio target is to grow the loan portfolio of this firm with a corresponding increase in operating revenues and earnings. As it sits right now, we need slightly more than $150 million in additional assets for our expense to asset ratio to be at the high end of our targeted range. Thus, we believe we are getting within reach of our target. With that, I will turn it back over to Terry to wrap up.
Terry Turner: Alright. As we begin to talk about our future outlook, there is no management action that I have always relied on, which is expectation shape behavior. For those of you who have been filing our CDNA, you know that in addition to the asset quality threshold that we have to achieve before any incentives are paid, our executive compensation is linked to producing top quartile revenue and EPS growth among our peer group. And by the way for most return metrics, our peer group outperforms the industry at large. So, one explanation for our persistent ongoing top quartile performance is that’s the performance expectation, our Board has established. Another management action you made is you get what you incent. And as I just mentioned, our compensation to top quartile performance, so that results in very high targets and that will get execution. I believe that approach to establish an ongoing performance targets is tightly linked to total shareholder returns. I indicated earlier that (indiscernible) will meet the three-year growth targets that we disclosed nearly three years ago and that hopefully about the fourth quarter of this year in addition to achieving our targeted ROAA. We should have each of the four components. The NIM, the fees, the expenses and the net charge-offs all operating better than or within the targeted range. Those targets were originally established in July 2011 in conjunction with our 2011 to 2013 strategic plan. And so this summer as a part of the 2014 to 2016 strategic plan. We increased the target range for ROAA to 1.20% to 1.40% and the fee to asset target range to – are 80 basis points to 100 basis points. We will continue to report against the originally disclosed targets for the remainder of 2014. And then we will begin reporting against the updated targets with the first quarter of 2015 earnings release. But as you can see with 1.25% ROAA this quarter, we are well approaching the mid-point of that new target. In short, our outlook for returns has increased. So, there you have it, our rapid growth strategy to create meaningful operating leverage is working. In the third quarter, we produced double-digit growth in EPS, loans, DDAs and tangible book value per share. At this point, it looks like we should hit our three-year growth target and reach our long-term profitability targets by fourth quarter ‘14. We are successfully transitioning our balance sheet to asset sensitivity, even at the short end of the curve without sacrificing our earnings stream we are entitled to as a result of being capable of getting floors on loans. And our aspirations remain high looking forward based on our advantaged markets and the fact that we appear best positioned in our markets to take advantage of the fact that nearly 40% of business clients are willing to switch based on Greenwich Research. Looking forward to 2015 and beyond, we anticipate our franchise has the ability to continue to produce double-digit loan growth and therefore achieve our elevated profitability targets. Operator, we will stop there and take questions.
Operator: Thank you, Mr. Turner. The floor is now open for your questions following the presentation. (Operator Instructions) Our first question comes from the line of Stephen Scouten with Sandler O'Neill. Your line is open. Please go ahead.
Stephen Scouten - Sandler O'Neill: Hi guys. Good morning, great quarter.
Terry Turner: Hi, Steve.
Harold Carpenter: Good morning Steve.
Stephen Scouten - Sandler O'Neill: A question for you on the expense front, I was impressed, surprised to see the salary expenses down and I was kind of wondering if you could give some color on continued new hires and maybe what drove that quarter-over-quarter difference there?
Terry Turner: Yes. Steve, let me talk about hires, I think generally we have indicated that the annual run rate for revenue hires, relationship managers we call them FAs, generally we are looking for 12 a year or so. And that’s what we have done in the last couple of years. And that’s what we now have done during the third quarter. That’s where we are year-to-date is 12 revenue producers. So, I think we would frankly want to get ask about hiring in and I have tried to indicate this in the past, the season for hiring honestly is the second and third quarter of the year. And the reason I say that is as you get late in the year, people have their eyes set on what their bonus is going to be and they don’t want to leave that on the table, so it’s hard to get somebody to leave prior to receiving that bonus. And then that same thing occurs during the first quarter, which is generally when those bonuses are paid. So, the real hiring season is second and third quarter. And as I say we have hit the targeted number of hires that we set out to make. That said, we view hiring opportunistically, it’s not like we got a budget once we – if we budget 12, we hit 12, we quit. We will continue to hire people. We may have an opportunity to hire another person or two this year, but as I say the market conditions generally dictate that the hiring picks up light in the first quarter, really in the second and third quarter next year, so.
Stephen Scouten - Sandler O'Neill: Okay. So would you say that this is a kind of a reasonable run rate in the near-term until maybe hiring picks up further again in those quarters in 2015?
Harold Carpenter: Yes. Steve, I think we are in pretty good shape on salaries and benefit costs for the rest of this year. It will probably be a little bit of increase in the fourth quarter, but nothing significant.
Stephen Scouten - Sandler O'Neill: Okay. And just one other question, on the move towards asset sensitivity one that was I am impressed again there that you are able to, I think you said you are actually slightly asset sensitive already just seeing what you have done in the last quarter. And I am curious if that movement makes you temper your future activities, I know you said you want to continue to move further in the next couple of quarters, but just given the rate movements we have seen even over the last few weeks, does that change your process and expectations?
Harold Carpenter: Yes. I think first of all, we will stick with our plan of removing some of these floors, but we will monitor – obviously monitor our progress towards our asset sensitivity goal. We just want to be – we want to be a little further into the asset sensitivity. We want our metrics to increase just a little bit more before we start backing off on this floor removal process. But for sure, we are monitoring all the discussion about these rate increases and trying to understand if there might be some deferral of this late 3Q, 4Q ‘15 kind of rate increase, because we have benefited for so many years now by being slightly liability sensitive. And so to go too far one way it’s just not where we want to be.
Stephen Scouten - Sandler O'Neill: Sure, sure. Well, thanks. I appreciate that. If you get any real clarity from the Fed on what direction, they are really going you let us all know, okay?
Harold Carpenter: Yes, I am counting on you, Steve.
Stephen Scouten - Sandler O'Neill: That will be a good one. Thanks, guys.
Operator: Thank you. (Operator Instructions) Our next question comes from the line of Jefferson Harralson with KBW. Your line is open. Please go ahead.
Jefferson Harralson - KBW: Hi, thanks. I want to follow up on Stephen’s on the interest rate sensitivity. With the changes that you made, if you think about the fixed floating and floating with floors, is it fair to say that about 30% of your loans move with rates currently and that’s going to move to closer to 60% just on the second 100 basis points?
Harold Carpenter: Yes, that’s very much true, Jefferson. In fact, I think you are really close on the 30%, it maybe a little bit more north of that, but not much.
Jefferson Harralson - KBW: Okay. And Page 9 already has a swap included that’s a decline between Q2 and Q3, that includes the swap, the 100, that’s the floating to fixed that you did or the fixed to floating that you did that. I guess Page 9, what is the cause of that decline this quarter, is it the impact of the swap?
Harold Carpenter: Well, I think I understand your question. We are down $100, $40 of it was due to the intentional removal, $60 was just market force.
Jefferson Harralson - KBW: Okay. And lastly as you go through time, you are going to be needing securities portfolios, not large and you have a lot of loan growth, you are going to need, I don’t know, $100 million to $120 million a quarter of funding, what type of mix you think is going to – is that funding going to come from or how do you think about – what that mix can be for next year and the year after?
Harold Carpenter: I don’t know how much further we can reduce the size of our securities book. We have got a lot of public fund depositors that we rely on that securities book to support. So, I am not sure if we can get the absolute level down very much further. So, I think it’s going to be blocking and tackling on core deposits.
Jefferson Harralson - KBW: And you think there is going to be a remix towards CDs as….
Harold Carpenter: I don’t know.
Jefferson Harralson - KBW: Borrowing FHLB advances?
Harold Carpenter: Part of me wants to be really bold and say I think that ship sailed, but I am not – we are really feeling a whole lot of CD sales right now. This, like I think, folks are really interested more in having flexibility with their money and not tying up funds. So – and maybe it’s just our customer base in comparison to other banks, but we are not seeing a whole lot of CD demand at all.
Jefferson Harralson - KBW: Okay, alright. Thanks, guys.
Harold Carpenter: Thanks.
Operator: Thank you. And I am showing no further questions at this time. I am sorry we are showing another question from the line of Brian Martin with FIG Partners. Your line is open. Please go ahead.
Brian Martin - FIG Partners: Hi, guys. Nice quarter. Maybe just one question Harold on the originations and kind of loan projection going forward. I mean, at what point I mean do you guys feel like the payouts could slow a little bit or I guess have any just kind of at this level, is there any change in your thought there, I mean the originations remained very strong like you guys talked about, but something that we will call on payouts perspectively?
Harold Carpenter: Yes, that’s an interesting question. We analyzed historical payoffs in a variety of different ways. We are still believing that I think we have cited four reasons in the past for payoffs, cash is pretty abundant a lot of the REITs and insurance companies are lowering their ticket sizes and getting into what has traditionally been a bank business and plus we are seeing a lot of liquidations of businesses where business owners have determined that they have survived the great recession and now are ready to kind of liquidate their businesses. So there is a lot of reasons for it. And obviously, the question is how long will this continue. And I guess we are in the midst of our planning for the next two years and what we are kind of assuming is that these payoffs aren’t going to subside that we are going to have to generate the same level of growth production in order to hit our loan growth targets are the same ratio of productions to payoff to hit our loan growth targets.
Terry Turner: Brian I might add to Harold’s comment, I mean I think for our planning purposes only thing to assume is that payoffs are going to continue at a similar rate. I think one of the things that has driven – that we see in our commercial payoffs in addition to I guess in combination with many business owners saying, hey I will take the time to exit. There is a tremendous amount of money in the market generally in the form of private equity, but various funds and so forth that are coming way down market looking for return. And so my belief is that that’s one of the reasons we are experiencing unprecedented payoffs is all this (total) money looking for a better return coming down market and either buying businesses or recapping businesses or the like. And so my belief is when you get to the different part of an economic cycle when you get to the different rate curves, when you get to the different yield opportunity for some of this money they will probably go back to more traditional asset classes. And that will provide us a good opportunity. I think, again I don’t want to go too far in this, but one of the things that sort of hitting on our balance sheet is that we are growing our working capital line commitments about 15% per annum, which generally matches the loan growth rate, double-digit growth rate. But line utilization continues to shrink and shrink even in this quarter, which again, I don’t know how to – I don’t know exactly to correlate that to economic health because as Harold already pointed out there is lot of liquidity in the system, but I do think it say us something about the pace of economic growth here that the working capital needs of owner managed businesses aren’t expanding. And so again I think it does say so about the economy. And so again for me looking for a silver lining, I say, well, that’s all, so I have got a lot of hidden capacity here when economy does get some legs. The fact that I am growing clients, growing line commitments and so forth when working capital asset expansion occurs, line utilization increases, there is a lot of growth that ought to materialize on our balance sheet.
Brian Martin - FIG Partners: Okay, that’s helpful. Thanks guys. And then maybe just any update or any change on M&A outlook?
Terry Turner: I think our M&A outlook is the same as it’s been for some time, Brian. We view ourselves primarily as an organic grower. We have an advantage stock. We are likely to use it. We have a preference for end market transactions in Nashville where we think if we get outsized cost synergy we like end market deals in Knoxville, which would expand our distribution in mass. We like market extensions in the Chattanooga and Memphis. We have a preference to go there on a de novo basis, but there will be a target that we might consider in those markets if we find the right opportunity to expand in market. So I think that’s the same thing that we would say it for several years now.
Brian Martin - FIG Partners: Okay, alright. Thanks guys.
Terry Turner: Okay, thanks Brian.
Operator: Thank you. And our next question comes from the line of Peyton Green with Sterne Agee. Your line is open. Please go ahead.
Peyton Green - Sterne Agee: Okay. You know what, gentlemen my question has been asked and answered. I appreciate it. Congratulations on a very nice quarter.
Terry Turner: Thanks, Peyton.
Operator: Thank you. And our next question comes from the line of Andy Stapp with Hilliard Lyons. Your line is open. Please go ahead.
Andy Stapp - Hilliard Lyons: Hi, guys.
Terry Turner: Hi, Andy.
Andy Stapp - Hilliard Lyons: Just noticed mortgage banking was down a tad linked quarter, just wondering what was causing that?
Harold Carpenter: Yes. I think there is a combination of things, but I think it’s just general business cycle stuff. It primarily calls for the reduction.
Andy Stapp - Hilliard Lyons: Okay. Alright, that was it.
Terry Turner: Alright. Thanks, Andy.
Andy Stapp - Hilliard Lyons: Thanks. Bye-bye.
Operator: And I am showing no further questions at this time. Ladies and gentlemen, thank you for participating in today’s conference. This does conclude the program and you may all disconnect. Everyone have a great day.